Operator: Thank you for standing by, and welcome to the Nickel Industries Limited March Quarter Activity Webcast. All participants are in a listen only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to Mr. Justin Werner, Managing Director. Please go ahead.
Justin Werner: Thank you, and thank you, everyone, for attending the Nickel Industries March quarter 2025 quarterly activities update. If I could just ask the moderator to move to the next slide, please. Pick up with Safety and Sustainability. 12 months LTIFR remains very low at 0.05, no lost time injuries were recorded against 4.8 million work hours for the quarter. The TRIFR also remains very low at the end of March. That was 1.48. We continue to be recognized as an ESG leader. We were awarded our third consecutive Green PROPER rating, and we are striving to be the first company to achieve Gold in Indonesia. And we also were pleased to receive an award for outstanding corporate social responsibility in Asia. If you could just go to the next slide, please. A strong quarter despite, again, continuing soft market conditions. US$97.3 million of adjusted EBITDA from operations. RKEF production was slightly lower, and that was just due to a small halt in operations for a couple of days at ONI just …
Operator: Pardon me. It appears we've lost connection with our speaker. Please hold while we reconnect. Ladies and gentlemen, we've reconnected with our speakers. Justin, you may begin.
Justin Werner: Apologies, everyone. The time line [ph] dropped out there. So I’ll start again. US$97.3 million of adjusted EBITDA from operations from the quarter. RKEF production, slightly lower, as I mentioned, due to some localized flooding from heavy rainfall. RKEF EBITDA of US$44.3 million, 5% higher than the December quarter. And EBITDA per tonne, we show an increase from US$1,309 a tonne to US$1,376, very good performance from our interest in the HNC HPAL. Again, continues to consistently perform strongly in terms of nickel tonnes produced over 2,000 tonnes for the quarter, again, 40% above nameplate capacity. And the highest amount of EBITDA delivered yet from HNC of US$22 million. And this obviously bodes well for the commissioning of ENC in the second half of this year. We reached agreement with Shanghai Decent to defer our two remaining ENC acquisition payments of US$126.5 million on 1, July and 1, October of this year. They have been deferred by 6 months. I’ll talk about that a little bit later on. But that is reflective of very strong relationship that we have with Shanghai Decent, in no way is a reflection of our confidence in the project or the market. It really is just preserving the balance sheet, particularly given the current environment in terms of global tariffs. And we have just recently seen, obviously, a weakening sentiment in both equity and debt markets. Mine operations production was slightly lower, and that was due to the changing of some pits. But ore sales were slightly increased. EBITDA was lower, and that was driven predominantly by a significant reduction in the premium price that's being paid for all over and above the standard HPM price. If we could just go to the next slide, please. RKEF operations, as I mentioned, production slightly lower by about 4%. Cash costs pleasingly were -- was 6.4% lower, so reduction from 2000 -- of 10,576 to 9,896. And so that was predominantly driven by lower nickel ore costs, and that did result in improved performance versus the December quarter. We did see a reduction in the NPI contract price, averaged to US$11,884 in the fourth quarter of 2024. That reduced to US$11,317 for the March. But I would note that we did see a strong improvement in NPI pricing across the quarter. So that rose from US$11,055 a tonne in January to US$11,220 in February and then finally, US$11,981 a tonne in March, which is actually above the Q4 average of US$11,884. So we did see a strengthening of NPI pricing across the quarter, which is encouraging. And as I mentioned, pleasingly, we saw a 6% reduction in our costs. If we can just go to the next slide, please. HNC, as I said, consistently producing above nameplate capacity. Costs again were decreased similar to our RKEF operations driven predominantly by lower nickel ore costs across the quarter. A new quarterly attributable EBITDA record of US$22 million, and as I said, it bodes well for ENC. If we could just move to the next slide, please. ENC is progressing extremely well. The top photo that you can see there is the HPAL plant, thickeners, counter-current decantation, storage tanks and reactors are all nearing completion. Two of the three autoclaves are now connected, and they’re in their pre and post treatment stages. And then the bottom photo there, that is the cathode and nickel sulfate plant. And you can see there, that’s very well advanced, and we are still targeting commissioning of the cathode plant in July, which is well ahead of the October schedule. And we are still on track to deliver MHP and or commission MHP and nickel sulfate in October. If you just move to the next slide, please. Mine operations, there was a decrease in ore mined driven by a number of factors. There was high rainfall across the quarter and I referred to some flooding earlier. There was also a pit or a movement from a lower grade pit to a higher grade pit, which decreased some of that mining and also saw a decrease in grade from 1.56% to 1.45%. That is now being resolved. The new pit has been opened up. We are looking to increase the grades. Sales were higher in this quarter, and, there was a slight increase in the Limonite contract price. And so our adjusted EBITDA was US$31 million, lower than the US$36.5 million in the December. That was predominantly driven by the decrease in the premium pricing that we saw was being paid across the majority of 2024, which now appears to have subsided quite a lot. And that will simply mean that we will just see margin flowing back into our RKEF operations and our HPAL operations, which we have seen this quarter. If we could just go to the next slide, please. Corporate highlights, declaration of AUS$0.015 per share final dividend, a dividend reinvestment plan that took the full year '24 dividend toAUS$0.04 Angel Nickel received US$36.4 million of VAT refunds from 2022. And there is a remaining balance of US$110 million that is expected to be received over the next 12 months. I've touched again on the Green PROPER award and again, one of only two mining companies to receive that tremendous achievement. And then finally, subsequent to the end of the quarter, we reached agreement with Shanghai Decent to defer the remaining ENC payments by 6 months. As we said, that removes any possible stress on the balance sheet and is again really a reflection of the strong relationship that we have with Shanghai Decent and the alignment of interests that we had given their significant holding in Nickel Industries. That wraps up the March for 2025. With that, we hand over to questions.
Operator: [Operator Instructions] The first question today comes from Richard Knights with Barrenjoey. Please go ahead.
Richard Knights: Hi, Justin. Hi, Justin, thanks for the call. Just a quick one on Hengjaya volumes. Obviously, you’ve got the closure expansion to 19 million tonnes coming at the back end of the year. Have you stockpiled enough Limonite to be able to fulfill that quota by the end of the year? That’s the first question. And second question, just on VAT rebates. If there’s any update on the sort of timing of payments of those, I suppose I’m just thinking about in the current environment, you were still pretty much cash flow breakeven. And just thinking about what sort of delta in the current price environment could sort of lift your cash balance ahead of having to make those payments for ENC in 6 months time or 9 months time.
Justin Werner: Yes, we’ve got -- thanks, Richard. I’m happy to take the first question. I'll hand over to Chris for the VAT. At the moment, we have over 20 million tonnes of Limonite currently stockpiled. So that there is more than enough Limonite stockpiled to make that ramp up from 9 million to 19 million. So the H power will consume around 11 million to 12 million tonnes of all year. So effectively, we have sort of 2 years of Limonite stockpile there. So we are very comfortable with Limonite stockpile levels. I’ll let Chris talk to the VAT question.
Chris Shepherd: Okay. Thanks, Justin and thanks for the question, Richard. We -- all we have said now is the remaining 110 that we are expecting within the next 12 months. I believe that's conservative. But given the delays we’ve had to date, I want to be conservative, like and say that. Do I expect it to happen coming 2025? I’m hopeful, but, I can't guarantee that, Richard.
Richard Knights: Yes. Okay. No worries. Thanks, guys.
Chris Shepherd: Okay. Thank you.
Justin Werner: Thank you,
Operator: The next question comes from Tim Hoff with Canaccord. Please go ahead.
Timothy Hoff: Again, thanks for the question. I just was hoping you could unpick the EBITDA that’s being generated by, TC, that 13 million in -- within the HPAL unit.
Chris Shepherd: What? Sorry, Justin, I can't hear that. What -- when you say unpicked in, like, what do you mean?
Timothy Hoff: So how’s that -- the extra US$13 million that's being attributed to TC or Tsing Creation. How is that being generated?
Chris Shepherd: So Tsing Creation is our entity. Tsing Creation owns -- we own a % of Tsing Creation, and we have Tsing Creation owns 10% of HNC. We have sales. HNC makes sales to Tsing Creation. And so we have any profit that we have there sitting in Tsing Creation from on selling the product is a 100% EBITDA because we can include that. It’s we consolidate that. However, our share of the HNC sales or the HNC profit, we obviously cannot consolidate. And so we gross that up, take our share of it, and call that our attributable EBITDA, and we add that to the EBITDA from Tsing Creation to give you the attributable EBITDA number of 22 mil. However, from -- because we cannot actually attribute -- we cannot actually consolidate the agency earnings, we have to equity account that. We back out the items below the EBITDA line to show an equity accounted profit, and that’s the number that you’d see in our accounts, in the actual half yearly and year end accounts.
Timothy Hoff: All right. So in the NPAT line, we’re going to see that if it accounted profits come through?
Chris Shepherd: Yes. And we -- look, we deliberately show it like that. So we gross up HNC because we don't want people to be looking and thinking that the margins coming out of HNC are a lot lower than what we believe the EBITDA margins is when they actually apply that. When you guys apply that to your ENC model forecast, we obviously don't want you understating the margins there for that business.
Timothy Hoff: Excellent. Thanks. And just remind us on the -- okay. No. I think we’ve got that. Excellent. Thank you very much.
Chris Shepherd: Thanks, Tim.
Operator: The next question comes from David Coates with Bell Potter Securities. Please go ahead. David, your line is unmuted. You may now ask your question.
Chris Shepherd: Sorry, operator. Have -- is David still on the line?
Operator: David is connected currently. Perhaps you are muted, David.
Chris Shepherd: Perhaps we go to the next question, and we can come back to David.
Operator: The next question comes from Dim Ariyasinghe with UBS. Please go ahead.
Dim Ariyasinghe: Good morning, guys and thanks for the call. Maybe if you could just walk us through again, please, what is required to get that, sorry, mining permit expanded? And are there any goalposts that we can look to? Yes, what is that glide path look like potentially? Yes.
Justin Werner: Yes. Thanks, Tim. Look, effectively there's three key steps. The first step is development submission and approval of a feasibility study, which pleasingly, we had approved during the quarter. So that that's a major milestone. The second step is then the, what's called an AMDAL or an environmental impact statement, which is -- supports the feasibility study and outlines the environmental management and rehabilitation plan. That has been submitted and is currently in progress. There's a number of workshops, meetings, revisions, which we are working through at the moment and that is also progressing well. Once that environmental study is approved, the effect basically, it’s then all consolidated into a single document submitted for approval of the increase in the RKAB, and that’s the final step. So we remain very confident of receiving that approval before October when we expect to start delivery of Limonite ore to ENC.
Dim Ariyasinghe: Yes. Cool. Thanks. And maybe just on ENC, I guess, it’s great and prudent that you were given an extension with the [indiscernible] on these payments. Is there any capacity? And I guess it’s not something that you’d want to do, but is there any capacity to change things further, like, maybe take on less ownership? Or yes, I guess -- yes, we -- it may be prudent maybe to revisit the economics of this just given the broader challenges in the commodity at the moment. But are those conversations -- yes, are you able to have those conversations at all, or is this just a strict deferral?
Justin Werner: We -- look, we are able to have those conversations with [indiscernible]. But at this point in time, really, the discussion has just been around a deferment for a period of 6 months.
Dim Ariyasinghe: Yes. Cool. Thank you. Thanks very much, guys. Cheers.
Justin Werner: Thanks, Dim.
Operator: [Operator Instructions] The next question comes from Adam Baker with Macquarie. Please go ahead.
Adam Baker: Good morning, Justin and team. Yes, good to those payments for ENC. Just wondering, secondly, on the debt repayments that you’ve got due in the second half of this year. I think you are starting to pay off the senior unsecured notes. Can you just walk us through that, please?
Chris Shepherd: Yes. I’ll take that, Adam. Thanks for the question. Yes, we do have the senior unsecured notes. They will start amortizing in October this year. And we also have amortization. We've already made some amortization payments on some of our bank loans, and they are continuing through this year. And look, that that’s a key factor around why we've pushed. We went to Shanghai Decent and discussed this and pushed back those ANC deferrals. We want to -- as I said, I think on the last call we had at the -- it was either last quarterly or year end. We are continuing to assess the capital markets, the debt capital markets. I must be clear on that. We are continuing to assess the debt capital markets for refinancing of that debt. We don't think now is the right time, mainly for various reasons, but operational reasons we have some very large catalysts coming up. We believe in the second half of this year being the ENC commissioning, being the expected increase of the Hengjaya Mine, [indiscernible], and also, the expected Sampala coming into production early next year. Obviously, with those three things and the effect that they will have on our EBITDA, I would much prefer to be looking to refinance that debt stack once those catalysts have happened or are much closer to happening so we can actually get credit for those. So with that, the amortization will be getting paid on the debt, reducing our debt balance. And to do that, given the current market environment and margins we’ve experienced, we went to our partner and requested a delay in those payments.
Adam Baker: And the amortization coming up in October, the quantum for that is around 40 million to 50 million from memory?
Chris Shepherd: No, no, no. The -- the let me just bring it up for you. Sorry. The amortization of senior unsecured is 44, 44 million, and that’s in October '25. But there’s also, amortization and various on quarterly amortizations on the bank loans as well. So and there every quarter, I’m happy to -- I think we’ve already published those. So I'm happy to send those back through to you rather than reading out, month by month amortization, Adam.
Adam Baker: Yes. Got it. Bye, bye. I’ll touch base up on. Thanks, guys.
Chris Shepherd: Okay. Thanks, Adam.
Justin Werner: Thanks, Adam.
Operator: The next question comes from David Coates with Bell Potter. Please go ahead.
David Coates: Hi, [Indiscernible]. Can you hear me this time?
Justin Werner:
Chris Shepherd: We can.
Justin Werner: Excellent.
David Coates: Yes,. Look. Apologies if I missed any of this while I was dialing back in, but just one of the -- do you have any color on the, potential block of shares that might be coming out? We saw that block trade during the month, which was interestingly handled. That’s now out of resto, I believe. Can you give us any update on that?
Justin Werner: Yes. Thanks, Adam. No. I’d be glad to point out it is out of resto. I’ve I had lunch with the principal about 2 weeks ago. And I think important to note that block of shares was actually held across two entities. One was the publicly listed entity, which is Harwell Managing. They are a coal producer listed on the IDX, but they are transitioning into nickel. And they have a mine at [indiscernible] and a HPO that is under construction. They needed to sell their balance of their shares for liquidity management and for some of the funding of some of their nickel operations. And that was driven by unfortunately for them, coal margins had significantly decreased sort of gone from tens of dollars down to sort of $4 to $5 a tonne. The remaining stake actually sits with the family or family office, and they have no intention of selling. In fact, the comment was made to me was that, yes, that I understand the catalyst that are upcoming and the growth that is effectively locked in. And the comment was that, he wouldn’t be considering selling anything under $1 So, we don't expect, to see those shares being offered anytime soon.
David Coates: Excellent. Thanks, Justin. And if we just one more on a couple of inbounds that I’ve had in relation to potential royalty changes, sort of versus royalties on oil production versus oil potential royalties on MPI production. Can you give us an update on that?
Justin Werner: Yes. Chris, do you want to take that one on royalties?
Chris Shepherd: Yes. Sure. Sure. The -- I’ll go to the second bit you said on the NPI production. I want to be very clear. We don't pay royalties on NPI production. That royalty is only for integrated operations which have in the same company. There there’s an -- there’s a couple of them, but in the same company, they have an ore, a mine, and an RKEF operation. So there's no actual external sales of the ore, so the government doesn't capture any royalty on that. So instead, for those entities, they capture a royalty on the end product, being the NPI or whatever other product they produce. So NPI royalties are not relevant to Nickel Industries. On the ore, we've gone through and whilst we are still finalizing, we've seen that they’ve been enacted. They’ve become legislation. There is some ambiguity, but we are taking the position that we will be paying a 14% royalty on the Saprolite and Limonite. It may be less, which is what the discussions we are having, but I think at this stage, it’s best to assume the 14% royalty on the -- on our oil sales for the 2024 on our sales. If that -- if this new legislation had have been in place for the whole of 2024, we estimate and that’s on the 9 million tons, we estimate in addition, we would have paid an additional US$8 million royalty. For our estimate on 2025, we are assuming we get the expanded, ARCab [ph] license, so the increased sales license, we expect that that increase in royalty will increase our royalties by $12 million. So not huge numbers in the context of our operations and our cash flows, but we've just I’m giving you those numbers just so that you can see based on our 2024 sales, it would have only been 8 million and our estimate for this year is an additional 12 million as a result of this legislation change.
David Coates: Okay. Excellent, Chris. Thanks for clearing that up. That’s helpful. Cheers.
Chris Shepherd: Thanks, David.
Justin Werner: Thanks, David.
Operator: There are no further phone questions at this time. I’ll now hand the call back to Mr. Werner for closing remarks.
Justin Werner: Thank you, everyone, again for the questions. Again, look, we are really rapidly approaching now. In fact, we are sort of 3 months away from commissioning of the Nickel Cathode plant and then not far away from that in October, the NHP and nickel sulfide. So, that’s one of the big milestones this year along with, obviously, the Hengjaya mine ramp up from 9 million to 19 million tonnes, and we hope to be able to provide update on that environmental study in the coming weeks. And then finally, I haven’t touched on it, but our, Sampala project, good progress continues to be made there. We continue to aggressively drill that project out. And it’s looking like it will host a significant ore body in close proximity to IMIP. And obviously, given the low CapEx and good margins from mining operations, we look forward to providing further updates on the Sampala project as well. So thank you, everyone, again for your time.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.